Operator: Good morning, and welcome to the Second Quarter 2013 Owens Corning Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Thierry Denis, Director of Investor Relations. Please go ahead.
Thierry Denis: Thank you, Amy, and good morning, everyone. We appreciate you taking the time to join us for today's conference call in review of our business results for the second quarter of 2013. Joining us today are Mike Thaman, Owens Corning's Chairman and CEO; and Michael McMurray, Chief Financial Officer. Following our presentation this morning, we will open this one-hour call to your questions. [Operator Instructions] Earlier this morning, we issued a press release and filed a Form 10-Q that detailed our financial results for the second quarter. For the purposes of our discussion today, we've prepared presentation slides that summarize our performance and results for the quarter. We will refer to these slides during the call. You can access the earnings press release, Form 10-Q and slides on our website, owenscorning.com, and we have a link on the Investor section of our website. The transcript and recording of this call and the supporting slides will be available on owenscorning.com for future reference. Please review Slide 2 before we begin, where we offer a couple of reminders. First, today's presentation and remarks include forward-looking statements based on our current forecasts and estimates of future events. Actual results may differ materially from those projected in such statements. Additional information about the risks, uncertainties and factors that could cause these material differences can be found in today's press release, as well as in our 2012 Form 10-K and second quarter 2013 Form 10-Q. This presentation and today's remarks contain non-GAAP financial measures. Reconciliations of non-GAAP financial measures to the most comparable GAAP measures may be found within the financial tables of our earnings release on www.owenscorning.com. Adjusted EBIT is our primary measure of period-over-period comparisons and we believe it is a meaningful measure for investors to compare our results from period to period. Consistent with our historical practice, we have excluded non-recurring items and items that we believe are not representative of our ongoing operations when calculating adjusted EBIT. We adjust our effective tax rate to remove the effect of quarter-to-quarter fluctuations, which have the potential to be significant in arriving at adjusted earnings and adjusted earnings per share. In the second quarter, we have utilized an effective tax rate of 26.5%, the midpoint of our anticipated annual effective tax rate range on adjusted earnings for 2013. For those of you following along with our slide presentation, we will now move to Slide 4. And now, our Chairman and CEO, Mike Thaman, will make some opening remarks, followed by remarks from our CFO, Michael McMurray. Mike Thaman will then provide some closing comments prior to the Q&A session. Mike?
Michael H. Thaman: Thank you, Thierry, and good morning, everyone. We appreciate you joining us today to discuss our second quarter results. Owens Corning completed a successful second quarter and first half. Our results reflect positive execution and provide the momentum for strong second half and full-year improvement over 2012. We are pleased with our progress in all 3 businesses in the quarter and the first half of 2013. We saw strong margin performance in our Roofing business, price increases and operating leverage in Insulation and improved performance in Composites. We are positioned for strong second half EBIT growth and achieving our full-year 2013 guidance. We delivered $124 million in adjusted EBIT, up $7 million from the second quarter of last year, driven by improved Roofing margins and profitability in Insulation. Consolidated revenue for the second quarter was $1.35 billion compared to $1.39 billion in the same period of 2012, and adjusted earnings were $69 million, an increase of $2 million from the same period last year. At the start of 2013 we discussed a number of expectations for improved performance across our business. Let me review them now starting with safety. As is the case each quarter, we said that we would continue to make progress towards our goal of creating an injury-free workplace at Owens Corning. We had a 16% improvement over the comparable period last year and regained momentum in this important performance area. We remain focused on an injury-free workplace and are committed to achieving a 12th consecutive year of safety improvement in 2013. In Roofing, we said that we would improve margins and see better pricing. For the quarter, we've made progress on this goal with EBIT margins of 23%. We benefited from price increases, strong operating performance and sales of our Duration product line. Second quarter volumes declined significantly across the roofing market. Michael will talk further about our outlook for the second half demand but we believe that this is a constructive development for our second half outlook. In the Insulation business, we said the continued improvement in the U.S. housing market would translate to a return to profitability for the business in 2013. Insulation delivered a profitable second quarter for the first time since 2008 and completed the eighth consecutive quarter of year-over-year EBIT improvement. The Owens Corning Insulation business is gaining significant momentum in volume and pricing. In addition, our first half operating leverage was in line with our expectations. In Composites, we expected to improve financial performance as the year progressed by demonstrating operating leverage in a stable price environment. During the second quarter, the plants operated at a level consistent with demand and prices were stable. Pricing actions in key geographies are now in effect. Composites had sequential EBIT improvement of $23 million in the quarter and the business is positioned to deliver a strong second half versus 2012. In addition, Owens Corning had a number of strategic achievements in the quarter that I'd like to note. We acquired Thermafiber, a mineral wool insulation manufacturer that expands our product portfolio, provides broader access to commercial and industrial applications and increases our ability to benefit from the recovery in the U.S. construction markets. We announced $130 million investment in North America to expand our global non-wovens business. This investment will support further growth opportunities in the North American construction market. This facility will complement our existing non-wovens facilities in North America and Europe. In Composites, we partnered with 2 Chinese-based manufacturers, Taishan and Jinniu. These arrangements will enable the business to leverage our commercial strengths while reducing capital investment and eliminating high-delivered cost assets. Finally, we published our 2012 sustainability report. We announced that we had achieved all 7 of our 10-year goals for footprint production. We are very proud of our reputation and execution in the area of sustainability. Now I'd like to take a moment to discuss the outlook for the year in each of our businesses beginning with Roofing. In Roofing, we expect to achieve improved full-year margins versus 2012. We continue to expect the full year market shipment to be flat versus last year. Based on first half shipments, we expect higher volumes in the second half versus 2012, a demand distribution more consistent with our historical pattern. The U.S. housing market outlook continues to support improvements in new residential construction and modest growth in reroof. Without significant fall storm activity, we would expect storm-related buy-ins for 2013 to compare unfavorably with last year but consistent with our overall market estimates. Insulation should have a stronger second half volume, driven by continued growth in residential new construction and seasonality, with higher capacity utilization and improved pricing. We expect continued price recovery to support our outlook for full year profitability in 2013. We also have positive expectations for the June price increase, however, prices still remain significantly below historical levels. The Composites business is positioned to deliver second half improvements, supported by pricing actions in key geographies. While global growth will continue to drive some improvement in the Composites business in the second half, the market growth rate will be below long-term trend due to uneven industrial production growth globally. We continue to expect all 3 businesses to improve versus 2012. For Owens Corning, the strength of an improving housing market in the U.S. and modest global growth will drive overall improvement of at least $100 million in EBIT and we expect that the rate of U.S. housing recovery in the second half and its impact in ongoing margin performance in our Building Materials businesses will largely determine the upside to our guidance. We are pleased with the progress that we've made in the first half of the year. As you can tell from my comments, we're entering the second half confident that both our operational execution and market outlook support improved performance in all of our businesses. Further, the competitive position of our businesses and the market drivers that underpin our second half optimism are expected to carry into 2014 and beyond. With Insulation returning to profitability, we believe that we are poised to demonstrate the full performance potential of our portfolio. With that, I now turn it over to Michael, who will further review details of our business and corporate performance. I'll then return to recap and open it up for questions. Michael?
Michael C. McMurray: Thanks, Mike, and good morning, everyone. As Mike mentioned earlier, we are pleased with our execution in the first half of the year and we're positioned to deliver strong EBIT growth in the second half. In our Roofing business, we grew first half EBIT margins 4 points through improved pricing and strong manufacturing performance. In our Insulation business, we achieved our first profitable second quarter since 2008 with higher prices and improved volumes. This marks our eighth consecutive quarter of improved EBIT performance for this business. And our Composites business achieved a significant sequential EBIT growth in the second quarter, and is positioned to deliver improved second half performance. Now let's start on Slide 5, which summarizes our key financial data for the quarter. You will find more detailed financial information in the tables of today's press release and the Form 10-Q. We reported second quarter 2013's consolidated net sales of $1.3 billion, down 3% compared to the same period in 2012. In our Roofing business, net sales were down 16% on lower sales volumes partially offset by improved pricing. Net sales in our Insulation business were up 22% on stronger volumes and higher selling prices. Lastly, net sales in our Composites business were down 5% due primarily to unfavorable mix, slightly lower sales volume and the impact of foreign exchange translation. In a moment, I'll review our reconciliation of items to get to adjusted EBIT, our primary measure to look at period-to-period comparisons. Adjusted EBIT for the second quarter of 2013 was $124 million compared to $117 million in the same period 1 year ago. Adjusted earnings for the second quarter of 2013 were $69 million or $0.57 per diluted share compared to $67 million or $0.55 per diluted share in 2012. Depreciation and amortization expense for the quarter was $79 million, including $1 million of accelerated depreciation related to our asset repositioning in Europe. Depreciation and amortization was $12 million lower than the second quarter of 2012, which included $17 million of accelerated depreciation related to our asset restructuring in Europe. Our capital expenditures for the quarter were $80 million. Next, when we reconcile our second quarter adjusted EBIT of $124 million to our reported EBIT of $118 million. We have adjusted out $3 million of net losses related to the flood that occurred in October 2012 at our New Jersey roofing facility as a result of Hurricane Sandy. The net loss includes the impact of a $15 million insurance advance received during the quarter. As we noted on recent calls, the incident is insured and we believe that the overall financial impact will be minimal. However, the timing of any recoveries may result in expenses being taken in periods before insurance receipts are recorded or received, which is why we're adjusting the impact of this event out of our results. My thanks to a great job in this project by our team. We restarted productions late in the second quarter and expect the plants to be back at full operating capacity later this month. In addition, we've adjusted out $3 million related to our 2012 Composites restructuring actions. Now, please turn to Slide 6 and I'll provide a high-level review of our adjusted EBIT performance comparing the second quarter of 2013 with the same period 1 year ago. Adjusted EBIT improved $7 million. The $20 million improvement in our Insulation business was partially offset by declines in our Roofing EBIT of $7 million and our Composites EBIT of $2 million. General corporate expenses were $4 million higher versus the prior year, primarily due to higher variable compensation expense. With that review of key financial highlights, I ask you to turn to Slide 7, where we provide a more detailed review of our businesses starting with Building Materials. For the second quarter, Building Materials' net sales were $923 million, a 2% decrease compared to the prior year. Building Materials delivered $120 million in EBIT, up from $107 million for the same period in 2012. Slide 8 provides an overview of our Roofing business. Roofing net sales for the quarter were $508 million, a 16% decrease compared with the same period a year ago. EBIT in the quarter was $116 million, down $7 million compared to the same period in 2012. In the second quarter, we estimate that manufacturer shipments were down over 25% and for the first half, were down over 10%. Our customers and our markets operate regionally and there can be significant variations in demand region-to-region. While manufacturer shipments were down significantly in the first half, we believe out-the-door sales for our customers were down in the mid-single digits for the total market. We view this gap between manufacturer shipments and out-the-door sales as a healthy development. This will drive a more balanced demand pattern in 2012 than we saw in -- excuse me, in 2013 than we saw in 2012, when over 60% of our volume had been shipped by the end of the second quarter. Our shipments in the second quarter were down just over 15% as we benefited from channel diversity within the quarter. Channel mix had a negative impact in the first quarter. On a year-to-date basis, our overall market share has remained stable. The outlook for U.S. housing supports improvement in the new residential construction market and modest growth in reroof demand, which together, will likely offset a potential negative comparison from storm demand. Based on our full year outlook for an overall flat roofing shingle market, we expect stronger year-over-year volumes in the second half. We have continued to demonstrate improved pricing and strong manufacturing performance through the first half of the year. EBIT margins improved to 23% during the quarter, and are 21% year-to-date, a 4-point improvement over the first half of 2012. Based on our outlook of relatively flat volumes compared to last year, and our margin performance year-to-date, we maintain our expectation of improved performance in our Roofing business for 2013. Now Slide 9 provides a summary of our Insulation business. Net sales for the quarter in Insulation of $450 million were up 22% over the same period last year. The business delivered its first profitable second quarter since 2008 with $4 million in EBIT compared to a loss of $16 million in 2012. The last time we were breakeven was in 2008 at just over 1 million lag starts on generally higher prices. Over the last 12 months, our Insulation business has returned to breakeven levels on about 800,000 lag U.S. housing starts. Our team has done a great job of lowering our breakeven point, resulting from strong cost execution and manufacturing performance. U.S. construction insulation volumes are healthy, and continue to track with growth trends and new residential starts. About 80% of the revenue growth in the second quarter was driven by stronger sales volumes. In addition, the business continued to demonstrate strong price realization in the quarter. As the U.S. housing market continues to recover, we expect to see further sales growth with improved pricing as industry capacity utilization tightens. For the pricing actions we have taken, and the improved manufacturing performance we have demonstrated year-over-year, we remain confident in our guidance of double-digit revenue growth and return to profitability for full year 2013. Now, I ask you to turn your attention to Slide 10 for a review of our Composites business. Net sales in our Composites business for the quarter were $472 million, a 5% decrease compared to the same period in 2012. The decline in revenue was driven equally by unfavorable mix, slightly lower sales volumes and the impact of foreign exchange translation. While overall volumes are relatively flat year-to-date, we still expect to see modest year-on-year glass reinforcements growth for 2013. EBIT for the quarter was $32 million compared to $34 million in the same period last year. EBIT margins for the quarter were 7%. During the second quarter, production levels were aligned with demand, and volumes were relatively flat compared to last year. We also saw pricing stabilize during the quarter and have announced price actions for non-contracted volumes in key geographies. As we look to the full year, we continue to expect that the benefits of utilization of our low-cost asset base, third quarter pricing actions and modest growth in global reinforcements demand will result in improved margin in 2013 compared to 2012. With a sequential improvement in the second quarter, we are well-positioned to deliver second half improvement versus last year. With that review of our of second quarter performance, I now ask you to turn to Slide 11, where we review other financial guidance for 2013. We continue to expect capital spending to be about $380 million. Reported capital spending will include the rebuild of our New Jersey roofing facility. As a result, normalized capital spending is expected to be roughly in line with depreciation and amortization of about $315 million. We continue to expect corporate expenses to be about $120 million. Our $2.2 billion U.S. tax NOL will significantly offset cash taxes for some time to come. In 2013, we expect our effective tax rate on adjusted pretax earnings to be 25% to 28% and our cash tax rate to be 10% to 12%. We have used the midpoint of our effective tax rate guidance as the pro forma rate to calculate our adjusted EPS as disclosed in Table 3 of our earnings release. 10 million shares remain available for repurchase under the company's stock repurchase program as of June 30. As we balance our priorities for the deployment of free cash flow, stock repurchases will continue to be an important mechanism to return capital to shareholders. While we did not have any share repurchase activity in the first half, we have purchased some shares early in the third quarter given our outlook for improved financial performance and our expectation of strong second half free cash flow generation. Again, we are pleased with our first half results. This performance and our outlook reaffirms our confidence in improving full year margins in all 3 of our businesses and delivering improved EBIT of at least $100 million with potential upside determined by the pace of the U.S. housing recovery and its impact on Building Materials margins. Thank you, and I'll now hand the call back to Mike.
Michael H. Thaman: Thank you, Michael. As I noted at the outset of today's call, Owens Corning's success in the second quarter was a result of continued execution in all 3 of our businesses, which positions the company for strong second half EBIT growth. We are pleased with the expanded Roofing margins in the first half, improved pricing and volume in Insulation and a positive outlook for the second half financial performance in Composites. We have demonstrated our commitment to continually grow our market-leading businesses through the acquisition of Thermafiber, the announcement of a new non-wovens facility in the U.S. and our strategic partnerships in Composites. We are well-positioned to deliver strong second half performance. I would now like to turn the call over to Thierry, who will lead us in the question-and-answer session. Thierry?
Thierry Denis: Thank you, Mike. Amy, we're now ready to begin the Q&A session.
Operator: [Operator Instructions] Our first question comes from Garik Shmois at Longbow.
Garik S. Shmois - Longbow Research LLC: The first question is just on Roofing. I think in the Q, you indicated you had $15 million in cost benefits in the second quarter. Just wondering if you could talk about the trend on the cost side as you look to the second half of the year.
Michael H. Thaman: Yes, sure. Garik, this is Mike. Obviously when we talked about the second quarter Roofing performance, we cited good price performance in the second quarter as having a nice impact on operating margins, but in addition, we talked about very good operating performance and also the sales of our Duration product line. And there really is a pretty good mix of drivers that have helped us with our margin performance in the quarter than in the first half. So we've had good performance from our Roofing operations. Roofing's a little bit different than our Insulation or Composites businesses, it's not nearly as utilization-driven, it's a material conversion business, so very tight control of materials, effective sourcing of materials, high-quality levels in our manufacturing operations can have a meaningful contribution to our performance. And I think you saw that in the Q, where we did say that operating performance contributed nicely on the cost-reduction side to help us with our margins.
Garik S. Shmois - Longbow Research LLC: Okay. Do you think that trend is -- on the cost side, sustainable into the second half?
Michael H. Thaman: Yes, I mean, we'll see some variability in raw material costs. Right now, obviously, oil prices have been elevated a bit for the last 30 days and that could start to come through in a little bit more dramatic asphalt cost inflation and, I think, our experience has been that, that can be a catalyst for price recovery in the market. So if we were to see more inflation on the material side, potentially that would require pricing actions or some actions to offset that. But for the most part, if we're sourcing our materials well, we're manufacturing, well, I would expect that we would continue to have very good performance in the second half.
Garik S. Shmois - Longbow Research LLC: Okay. And then I guess switching to Composites, previously I think you had indicated somewhere around $20 million to $30 million of EBIT growth is possible in Composites depending on how much pricing you were able to achieve this year. You talked that you have some pricing in place middle of the year. It looks like maybe inflation was coming in below trend, correct me if I'm wrong there. Just wondering where you are here, middle of the year, in Composites relative to that prior forecast you had put out there.
Michael H. Thaman: Yes, I think our outlook for Composites is still consistent with what we said in the first quarter. So we had kind of come in to the year saying, we had a lot of operating leverage coming from our asset restructuring and also coming from some demand growth and that was going to be offset by inflation. I think inflation, we've done a good job of managing inflation, that's not just kind of overall market rates, it maybe not been quite as high as we expected coming into the year but we've had a focused program on sourcing and managing the inflation of raw materials and we've made some progress there. That really is productivity and cost performance on the operating side. I think volumes maybe have been a touch weaker than we'd expected coming into the year. In my comments, I described the industrial production globally as a bit uneven. So we've seen some portions of the market where we're meeting our expectations, some that have been downgraded a bit, but we are seeing overall growth. But the simple driver of improvement in Composites this year is really operating leverage net of inflation, and I think we're still on the range of where we were on the last call when we talked about that.
Operator: Our next question comes from Stephen Kim at Barclays.
Stephen S. Kim - Barclays Capital, Research Division: Steve Kim of Barclays. I wanted to ask you a question about Composites, if we could. Can you give us a sense of what percent of your annual sales are done to customers who are not on an annual fixed contract and what do you think the outlook is for price opportunity for those sorts of channels.
Michael H. Thaman: Sure, I mean, it is a great question Steve. And let me kind of step back a little bit and just frame how the market works and then I'll speak directly to your question. Unlike our Building Materials businesses where we largely sell to distributors who buy and resell our product, where when we move prices, it moves prices in the marketplace in their end-use and they're able to recover that price increase. A lot of our customers' business in Composites is done based on bidding products or actual fabrications into end-use markets. And so generally, that market has worked with our customers wanting to support them with annual pricing so that they could go out and they could quote business and they could stand behind the prices that they quoted. So the nature of the business, because it's an OEM and it's a processing market, not a distribution market, tends to dictate that our customers are looking for a little bit more price stability in the year and maybe looking more for an annual price discussion. Now some of that is in fact, contractual, the way you would think about it as the contract, and then some of that is just an annual pricing agreement that we reach with our customers. We've said that probably more than 1/2 of the business is on either contracted prices or some type of annual price agreement, where we don't feel much flexibility through the year to try to restate those prices outside of some major change in the dynamic of the market, and then less than 50% of the market would be what we call non-contracted volumes. So when we are putting mid-year price increases into the market that vary by geography and product line on the portion of our business that's non-contracted, the materiality to the outlook of the performance in the second half may not be that large, but the materiality to our outlook over the 2014, 2015 time frame is very, very important. Because obviously, if it's a non-contracted business where we start to pick up some positive momentum on pricing, that starts to frame the annual price negotiations and the annual price contracts with our other customers who are annual arrangements or even with multi-year arrangements into a more positive pricing dynamic. We put some materials out on our investor website that we presented at an Investor Day in Amarillo, which is one of our Composites plants in Texas. And in that chart, we made public a fair amount of our competitive analysis that shows there's really been a dearth of capital investment coming into this market since the financial crisis in 2009. Returns on capital had been low and not just Owens Corning, but really our competition has responded by not bringing new capacity to the market at the rate of demand growth. So we see utilizations tightening. We think going into 2014, it's going to be a better utilization environment and therefore, a more positive price environment. And then as we look past 2014, you actually start to see some genuinely difficult market conditions in '15 and '16 in terms of availability of composites. So this pendulum is shifting. We've been in a flat to negative nominal price environment now for really, the part of a decade. Our goal is to start to reverse that trend, get ourselves at least into positive nominal pricing and then at some point here, get to positive real price and actually have margin-accretive pricing.
Stephen S. Kim - Barclays Capital, Research Division: Yes, and certainly, the Chinese downtime, that's going to be coming, is going to be a tailwind as well, you would think, longer term My next question relates to Insulation. The incremental margins this quarter were a little light, they were strong obviously for the first half. But I was wondering whether there were any one-time items that we can sort of peel out that would have increased the incremental margins more up to the sort of the 40%, 50% type range that we have been getting used to. And also if you could just remind me, what kind of pricing increase is baked into your outlook for incremental margins in Insulation?
Michael H. Thaman: Okay. I think you're right that we've guided that over a 3-year period of time, we expected about 50% operating leverage in the Insulation business, and we gave the guidance I think in the late '10 or early '11, so we're kind of talking about the time period '11, '12, '13. So we're kind of weighed into that period and generally, through '11 and '12, we were pretty much spot-on or a little bit better than that guidance and actually, through the first half of this year, our Insulation business has grown by a little over $70 million and we've grown EBIT by about $33 million. So in fact, through the first half, we're pretty much on track with that guidance. So we didn't see anything in the quarter that was worrisome or a surprise to us in terms of the progression of operating leverage. We've said, I think, again and again on this call, and we try to say when operating leverage is fabulous like it was in the first quarter, I mean effectively in the first quarter, we had EBIT growth on 0 revenue growth and didn't really crow about that because we said there's a lot of timing issues in this and we should accumulate it over time. So I'd look at the first half and the operating leverage in the first half and say that was pretty much in line with our expectations. I'd probably say the one area where I think we could see some pick up in the second half that would probably help our business is we commented in the first quarter that Canada was a bit weak and mostly cited weather, that's an important market to us. In the second quarter we had a lot of flooding in Alberta, we had a strike in Québec, so some of the rebound we expected to see in Canada, we didn't see. Again, we think that's timing. So we think anything that didn't get done in the first quarter because of weather and didn't get done in the second quarter because of the strike in Québec or the flooding in Alberta, we would see in the second half and that probably will help our profitability a little bit.
Stephen S. Kim - Barclays Capital, Research Division: That's great. And the pricing assumptions?
Michael H. Thaman: Oh, I'm sorry about that. We announced about a 10% price increase for June 1 and in our prepared comments, we said that we felt like our realization of that price increase was good and that, that should continue through the second half of the year. So we are, in our outlook, expecting that we will operate at higher price levels in the second half of the year than we did in the first half.
Operator: Our next question comes from Ken Zener at KeyBanc Capital.
Kenneth R. Zener - KeyBanc Capital Markets Inc., Research Division: Just want to follow up on the question on price, really quick, specific to Insulation. In the Q you've talked about roughly $35 million in price in Insulation this year. How much of that kind of dropped to the bottom line? Do you view that as a 100% versus the incremental volume, which is maybe coming through at a 30% incremental?
Michael H. Thaman: Yes, in our Q, we do break out pricing. That price would be across all markets. So generally, when we're on the call, when we're talking about the real driver of profitability in the Insulation business, we're very focused on the U.S. residential new construction market, which is the market that suffered the most from 2006 to 2012 as we've gone through this big downturn and it's really the place where we're most focused on trying to rehabilitate pricing and recover to get back to historical levels. The $35 million would be across all segments of the market and in some cases, some of the industrial and commercial markets we've had some inflation on, some input materials, et cetera, so all of that wouldn't get to the bottom. Some of it is to cover input costs and other market dynamics. But some of that obviously is margin accretive, particularly the U.S. residential side where prices have been well under water. We need to get a fair amount of margin-accretive pricing to get anywhere near historical price levels and certainly, to get anywhere near peak levels than we saw in '05 or '06.
Kenneth R. Zener - KeyBanc Capital Markets Inc., Research Division: Okay. And then moving over to Roofing, which all is colorful industry. It sounded like the -- if you're using ARMA data, down 25%, you're 16%, so there's differences, but there's a big difference between the sell in and the sell out. Can you highlight what that means for the inventory at distributors in your opinion, a, and b, I want to revisit the question I asked you last quarter where I thought COG changes actually drive pricing more than anything else. And while last quarter, I view that as potentially a neutral element to price, is there a risk -- I mean this is a negative considering how strong your margins were, but is there a risk of price deflation in the second half if asphalt doesn't move up relative to the run rate?
Michael H. Thaman: Sure. Let me talk about the sell in versus the sell-through kind of as you characterized it. Michael, in his comments, said that last year, we shipped more than 60% of our shingles in the first half of the year. We went back and looked at about 15 years worth of data and a pretty good average for Owens Corning has been about 55% first half, 45% second half. So we were well, well ahead of historical trends last year and knew -- I shouldn't say knew, suspected at some point in the first half of this year, where we comp negatively with last year, unless that was kind of the new normal. We're actually, I think, pretty pleased to see, at least for the time being, if not the new normal, that inventory levels in the channels today we would expect are quite a bit more in control than they were this time last year. Now that's I think attributable to a couple of things. One was, last year, the roofing market got off to a very fast start. So we had a very early spring, we had lots of early season storm activity, business was vibrant in a lot of the country and I think there was an optimism in the April, May timeframe that was not met with demand pull in the June, July timeframe. So a lot of our distribution and retail customers had to pull back pretty quickly on what had become elevated expectations for the year. I think this year's a little bit the opposite. We had a little bit of a late spring. We didn't have huge spring storms. We had some, but we did not have the level of storm activity. So most of distribution have kind of grown into the year and seen their business building through the year, which is good. I mean, their sell-throughs are relatively stable and that their inventories are in good control, which would suggest that their re-order rate for us in the third quarter should hold up better than it held up last year. We see that's a positive to pricing. One of the things that causes price deflation is if you go through prolonged periods of very weak demand. That's a time where manufacturers might get a little bit more anxious that they misgauged the market, get more aggressive in discounting to try to move some of their inventories. I think as long as our customers are seeing decent reorders and as long as our customers are buying in a fairly stable pattern, it's pretty easy for the manufacturer to remain patient to realize that demand. And you have to remember, price deflation is not good for our customers. For the most part, if we were to see a second half decline in prices, that's devaluing any inventories that they do have. So generally I think the market dynamics support an outlook, which would say, stable pricing. Margins are what's good for us as a manufacturer, what's good for our customers.
Operator: Our next question comes from Mike Wood at Macquarie.
Mike Wood - Macquarie Research: You spoke about the Composites and Insulation price realization. Can you comment a bit on Roofing given the fact there were 2 price announcements out there, there's confusion in the market as to whether one of your competitors was discounting. And then also on that effect, whether or not there was any timing issues, as to whether or not that would be fully realized when you reported results this quarter. I believe you had a 4% price increase in the quarter in Roofing.
Michael H. Thaman: Well, I mean specific to price realization, we don't really like to comment on specific price increases or specific price realization on what's been announced in the market. Obviously, at the time of the first quarter call, which was in late April, we expressed a fair amount of optimism about the effectiveness of the April price increase and our expectation it would have a positive impact on margins in the second quarter, and then carrying into the second half of the year. I think if you look at the margin rate in the second quarter, we clearly were able to achieve enough pricing even with some of the, I think, well-documented discounting that took place in the market that we were able to produce 23% margins for the second quarter and 21% margins for the first half. So despite some noise around the individual price increases, I think our overall message would be that the market environment we're in today and the price levels we're currently selling at, support really an outstanding outlook for our Roofing business.
Mike Wood - Macquarie Research: Okay, but does that price increase that was disclosed in the Q fully reflect the price increase that was in the market or is there some kind of timing issue that we wouldn't see it fully in results until third quarter?
Michael H. Thaman: I don't -- if you're looking for kind of was there a delay to the price increases or something that we're going to hit another point of catalyst where suddenly prices will come up and margins will further widen out, I don't think the guidance we're giving you today was built off of that point of view. I do remind you though that a lot of things can happen in the Roofing business that can be catalyst for price, and obviously, one is inflation. So we're watching oil prices very, very carefully. And certainly, there's enough price announced in the market, that if we were to see a lot more inflation on the asphalt side, that the ability and the focus on achieving some gains of those price increases to offset our inflation, I think would be felt not just by Owens Corning, it will be felt industry-wide. We think, generally, asphalt cost inflation is an area where that cuts across the marketplace and is well understood by our customers. I think the second potential catalyst is, we haven't had a fall storm event, for now, 4 or 5 years, and historically, the big run-up in volumes in the roofing market was when we saw hurricanes. And we've kind of been out of the hurricane business now for 4 or 5 years. If we did see a tight demand environment in the second half because we had a storm event, obviously that's going to support stronger pricing as people are paying up in order to try to get volumes to meet the rebuilding efforts.
Mike Wood - Macquarie Research: Okay. And finally, could you just comment on the Insulation pre-buy and how demand trends may have shaped up post the June price increase that you referred to?
Michael H. Thaman: Yes, there was some pre-buy in the second quarter. So I think our revenue numbers in the second quarter were influenced a bit by, in particular, the U.S. new construction market wanting to get inventories in at lower prices. Obviously, that's a very, very positive sign for us. It means that the price increase is well understood and it's going to stick in the marketplace. People want to get low-cost inventories in. I would reiterate though, at the end of the first quarter, when our revenue number was basically flat, we did say that we thought, not just on a year-to-go basis but a full-year basis, we thought Insulation would grow at double-digit levels. So if you're flat in the first quarter, you leave 3 quarters, to get the double-digit, you're going to have to put some quarters in at very strong growth rates. We saw that in the second. We would expect to see continued strong growth in the third and the fourth. The seasonality of the business and the underlying economics in new construction or the underlying dynamics in new construction support good top line growth for insulation.
Operator: Our next question comes from George Staphos of Bank of America Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: I wanted to come back to the question on incremental margin in Insulation and not try to be pedantic about it, Mike, but would you have been at your target range on operating leverage, incremental margin of 4% to 6% in the quarter if not for the one-off factors that you cited? And is there a way to, I think Stephen asked the question earlier, is there a way to parse out what the aggregate amount of those factors was in the quarter, and would your outlook, expect incremental margin in that range in the second half of the year. Obviously, you've got more volume and momentum than you did in the first quarter, and you're getting more pricing, so that would suggest that you should be able to your target ranges, no?
Michael H. Thaman: Yes. And so I think there's a couple of mix things that I would point to. And when you say can you parse it out, we don't provide enough disclosure nor do we think it would be constructive to provide disclosure kind of at the individual market segment level. But if you look at the second quarter, we would have produced better leverage in the first half probably if Canada were a bit stronger and if there had been less pre-buy in the U.S. residential construction market. So U.S. residential construction market, I mean we've been pretty candid that, that's been our lowest performance market segment that we've been losing a fair amount of money in that market. So whenever you see a pre-buy in a market that's struggling with profitability, it's going to be a headwind to operating leverage, and if you lose some volume in a market that is making money, then obviously it's going to hurt your operating leverage. So if we could remix the quarter, you'd probably want Canada a little bit stronger and you'd want a little bit of that residential new construction business in the third quarter, not the second. That said, I think we wound the spring in Canada where we've got good volumes coming in the second half because of the delays and I think pre-buys are always a good sign in any market because it means the market is expecting higher prices. So I wouldn't give it back. I'm very happy to be looking ahead to strong demand in the second half in Canada and I'm very happy that our customers were able to bring us some inventories in the second quarter that they'll be able to margin out a bit and make some money. From a guidance point of view, I think we stand by our original guidance, which was 3-year guidance, that over a 3-year period of time, we expected about 50% of operating leverage. I'd punctuate the point Michael made and I think those of you who've been on the call for a while, it was probably 4 or 5 years ago that we said the last time the Insulation business broke even was in 1 million housing starts and that we thought the next time we pass 1 million housing starts, we'd make about $100 million. A lot of our analysts I think correctly said, well you're at 600,000 starts now so if I draw a straight line between $100 million of losses at 600,000 starts and $100 million of EBIT at 1 million starts, you guys should breakeven around 800,000. We never explicitly gave that guidance but we always nodded and said that's a reasonable conclusion. Well, here we are today, if you look at LTM, LTM EBIT for the Insulation business I think is about a $3 million loss. I mean it's effectively breakeven, and LTM housing starts are just a touch over 800,000. So we're tracking along very nicely in terms of our understanding of the business. We did that at the end of the second quarter. So if you look at the LTM we're using here, it's the second half of last year, which is our seasonally stronger period and then the first half of this year, which is seasonally weaker. So we're now kind of an LTM basis breakeven looking ahead to the strongest part of the year for us in 2013. And then looking ahead to 2014, another year of good growth in Insulation. So we feel like we are right on track in our Insulation agenda. We're really pleased to have seen now 2 price increases that were effectively executed in the market, one late last year, the second one in June by our team with our customers. And we think that we're now moving back down the path where improved housing starts, better pricing and with the story we have around building codes, more Insulation per home in order to meet the new energy efficiency standards, that this business is going to get back to very, very high levels of performance well before we need to see anything like the housing starts we had in '05 or '06. So it's a big moment, I would say, in the company's progression to be sitting here today, talking about Insulation, making money in the second quarter. Insulation breaking even at an LTM basis. We now have 3 great businesses we can talk about in terms of earnings growth and 3 great businesses we could talk about in terms of our earnings power.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. Well, I appreciate the thoughts there. I had one more question on Roofing. Given all the dialogue on pricing over the last couple of years, I guess that's the norm to some degree with Roofing. Do you think we're hitting a relative ceiling on real roofing prices, given the fact that you have such strong operating margins? I realize if asphalt cost go up or input cost go up in general, that you have to recover that, but barring any change in the cost to manufacturing, should we be expecting real roofing price to be more or less now status quo on a going-forward basis.
Michael H. Thaman: I mean I don't know that the absolute level of roofing price is something that would be a big driver in the market from our perspective. If I look at an average roofing job, let me just kind of estimate some numbers. If you take an average American home maybe 2,500 or 3,000 square feet, it might have something around 20 or 25 squares of roofing material on the roof and it might cost $8,000 to $10,000 to reroof that home. At the distribution level, we'd sell those 25 squares of material for somewhere in the $1,500 range. And so if you think about it from a homeowner's perspective, I've got an $8,000 to $10,000 reroof job and at the first buyer, I'm buying $1,500 worth of roofing material. If we're making 20% margins on that $1,500 worth of Roofing material, we're making $300 and we're going to be around for 20, 25, 30 years, standing behind our warranty, keeping moisture out of the person's attic, beautifying their home and increasing the value of their home. That doesn't strike me as an outrageous ask and it certainly doesn't strike me from a value point of view that if we need to cover asphalt costs or for some reason, that 25 squares of roofing material is going to need to cost $1,600 or $1,650 and the value of the reroof job goes up to $8,150 or it goes up to $8,200, that somehow we've changed the dynamics of the market. So there aren't strong alternative materials. You get into metal and other much more expensive materials than an asphalt shingle, we make a very, very high quality product that improves the aesthetics of your home, we offer a very good warranty and it's a great value. If anything, you go back to some of the historical times when we're operating at single-digit margins and you kind of scratch your head and say, why were we willing to sell $1,200 worth of material on that job and make $70 in what was probably a $7,500 reroof job at the time. So from a value proposition point of view, the value proposition certainly supports the roofing manufacturer making money. Now it's a competitive market, so obviously we have to compete every single day. We have to make great products. We have to offer our contractors a value proposition that they can go and sell in the home. We have to offer our distributors end-use demand that they can sell through, that's where our margin comes from, is our ability to do those things effectively.
Operator: Our next question comes from Bob Wetenhall at RBC Capital Markets.
Robert C. Wetenhall - RBC Capital Markets, LLC, Research Division: I wanted to see, do you expect Composites sales to comp positive in the second half based on your guidance? And what's the anticipated impact on revenues and margins of the strategic partnerships that you've announced in China?
Michael H. Thaman: The answer your first question, in Michael's prepared comments, he said volumes were about flat through the first half and that we did expect volumes to be up for the full year. So I think it's a reasonable conclusion to kind of back out the second half and say, we'll comp positively in the second half. Part of that is kind of stable demand where we're sitting right now and then the other part of that is Europe slowed down in the second half of last year, the U.S. wind market slowed down in the second half of last year because of the PTC. So the comps last year are kind of against 2 of our big markets going through a bit of a slow down last year and we're hoping that we won't see that again this year. So we would expect to see some volume pickup in the second half, although I don't think it's a dramatic driver. And then the second half of your question, Bob?
Robert C. Wetenhall - RBC Capital Markets, LLC, Research Division: You're doing a lot in terms of announcements with strategic partnerships in China, and I just wanted to understand what the potential impact on Composites is for both revenues and margins.
Michael H. Thaman: Yes, I think in terms of materiality of the impact on the business, both those partnerships are a bit on the margin. We'll get a little bit of capacity that will give us some growth over the next couple of years. We'll get a little lower cost position on a very important product line for us and avoid a significant capital investment that we would have needed to put it in order to support that product line. So we're really working a little bit of top line, a little bit of margin, a little bit of balance sheet, in each of those deals. But I think they -- I think they say a couple of things. One is a continuation and an evolution of our strategy, which is made significant investments in the 2009 to 2012 timeframe, kind of repositioning our asset base, taking out some high-cost assets, building some low-cost assets and getting the asset base we wanted. We also said that we were going to pull back our investments until we saw a little bit better margins and a little bit better return on capital from the business. So I give the team a lot of credit, I think they're finding creative ways to continue to expand the footprint and impact of our business without needing additional capital and in fact, actually offsetting capital, in some cases, creating cost reduction. I think the second thing it points to, though, is a lot of the themes we've been talking about in China are coming to bear, which is if you go back 5 or 6 years ago what we just saw was aggressive across-the-board investment by our Chinese competitors. We're now seeing openness for partnership, need to find technology partners who can help them get lower cost, the inflation, the currency translation rate, the demand for higher-quality products, a more specified environment, is putting pressure on some of our Chinese competitors, as is the credit market in China. And they're looking for more creative solutions and reaching out to people like Owens Corning. That allows us to be selective. It allows us to find the right partners for the right types of situations. And we think it's a constructive step forward to see that we can actually do business with our Chinese competitors in a way that we can give them some technology and some licensing and provide us some tooling and some low-cost product that we can then extend our commercial agreement.
Robert C. Wetenhall - RBC Capital Markets, LLC, Research Division: Got it. And just one quick follow-up on Roofing. Good margin movement in the first half of the year compared with 2012. Just wanted to get your view on where do you think long-term normalized EBIT margins are in the Roofing business based on your current thinking for that?
Michael H. Thaman: Well, Bob, our official guidance on that has been mid-teens or better and I think given the volatility we've seen in margins, that's probably good, safe guidance and guidance I would stick to. If you look at Slide 8 of our investor presentation, I continue to look at that slide when I talk to the team and you kind of see 2010, 2011 right around 20%, you see a dip in 2012 and then you see LTM margins kind of right back around that 20% levels. So I tend to feel really good about the business when we're kind of at these margin levels. I know we're going to have some bumps in the road. I see structural reasons why mid-teens are better, it's probably the right way for us to guide the business but I think some people interpreted our mid-teens or better guidance to be a margin deflation outlook. I think we guided to exactly what we believe, which is you should expect that business to pretty consistently deliver mid-teens or better margins and where we are now with 21% margins year-to-date is in fact, better than mid-teens.
Operator: Our last question comes from Dennis McGill at Zelman.
Dennis McGill - Zelman & Associates, LLC: On the Insulation segment, the 2 drags that you've talked about have been in raw material inflation and mix. Can you maybe dig into raw material inflation a little bit more and just talk to what pressure points are there and what the outlook is there for the second half of the year. And then on the mix side, given that new res domestically is going to be the growth engine for a while, is there any opportunity to see that headwind abate or is that with you for a while?
Michael H. Thaman: Well, Dennis, I just want to make sure that I -- the comments I made around inflation, which I don't want to blow these out of proportion, it was more in the context of the price number we offered for the Insulation business in our 10-Q cuts across all segments of the business. And if you look at our pie chart, it's 37% U.S. new residential construction at the end of 2012. We've always said probably 20% of that's Canada, so it's maybe less than 1/3 U.S. residential construction. When we talk about the business on these calls, since that's where the leverage is in terms of earnings, that's where we tend to spend our time talking about pricing inflation. If you look at international, we're doing business in developing countries there, where we would have labor cost inflation and exchange rate-driven inflation. If you look at commercial and industrial, we've got a fairly sizable extruded polystyrene foam business that sells a fair amount of product into that marketplace, polystyrene tends to track oil. So we've seen some polystyrene inflation now. The pricing mechanism in that market looks a lot more like Roofing, it's a materials conversion business. So when we have polystyrene pricing, you tend to get better pricing on board stock and as a result, we manage 2 margins in that business. So I would just caution, when we look at Insulation's reportable segment, there's a fair number of things that would be going on in both the price number, which is inflation recovery and the cost number. I think when we come back and look at the U.S. residential new construction segment, we said that we had good price realization at the end of the year on kind of a high single-digit price increase. And then again on the June 1 price increase, we said that we have a nice price realization on that price increase. So we are starting to move prices specifically in that segment.
Dennis McGill - Zelman & Associates, LLC: So just to clarify, if you just isolate the raw materials side of it or the inflationary side of it, as you look to the second of a very year, is that still a headwind in the overall segment?
Michael H. Thaman: It hasn't actually been a headwind to date because most of the polystyrene inflation we've experienced we've recovered in price. So from a margin point of view, where we've had inflation, we've been able to recover it with price. I answered the previous question in the context of, did all of that price fall to the bottom? Some of that price was recovery of inflation. So I don't see it as a headwind in terms of how we look at the businesses or we manage price.
Dennis McGill - Zelman & Associates, LLC: Okay. And then the mix side of it for the domestic new construction, is that mix that becomes or remains a headwind for the foreseeable future?
Michael H. Thaman: Well, we're still -- we've said in the past that new construction Insulation prices are probably 30%, 35% below their peak, is kind of where we pegged them at the end of last year. Even with our positive pricing actions, they're probably still 25% below the peak or somewhere in that range. So we have a lot of work to do to get pricing up and get back to an investment-grade business with good margins. We'll soon kind of get to the point where we're no longer you losing money at the manufacturing level. That's no goal for any business that I know of, but it's certainly a first step in trying to improve the profitability of the business. Once we get to making money at the manufacturing level, then some of the mix issues start to go away a bit. But we're in a position today where as some segments grow and some segments shrink a bit, depending on their relative margin performance, you're going to see big impacts on operating leverage. Once we get all the segments of that business profitable, then as each of them grow, each of them will contribute to operating leverage. That's -- we're pretty close to that. I think when you see the overall business breakeven, you can conclude that the losses have been significantly narrowed where we're losing money and that the business that are contributing are offsetting those losses but that the rising tide will eventually raise all those.
Operator: This concludes our question-and-answer session. Would you like to make any closing remarks?
Thierry Denis: Thanks, Amy, very good. Thank you, everyone for joining us for today's call and with that, I'll turn it back over to Mike Thaman for a few closing remarks.
Michael H. Thaman: Thank you, Thierry. First as always, thank you for all the people on the call for your interest in our company. Obviously, we're working very hard on your behalf to try to create great businesses and deliver lots of shareholder value. In that regard, we think in the first half of the year and in the second quarter of the year, we've made very good progress as a company in extending and executing our agenda of improving each of our businesses and really getting all parts of Owens Corning's business portfolio operating at high levels of performance at the same time. Getting Insulation back to profitability on an LTM basis and a full-year 2013 basis, is a big milestone for us; seeing positive progress sequentially in Composites from the first quarter to the second with a good outlook for the second half, is a big milestone for us; and producing 21% EBIT margins in the first half of the year in Roofing with 23% EBIT margins in the second quarter, obviously is a big milestone for us. We're really happy with the people at Owens Corning who have been working very, very hard in what have been some challenging market conditions in both Composites and Insulation. I think we're now starting to see the fruits of our labor across all of our businesses and we're awfully proud of our team. As you can tell from our -- my comments, we're entering the second half of the year confident, not just in our operational execution but also in our market outlook and we do believe that, that outlook supports improved performance in all of our businesses. And I think we want to emphasize the competitive positions of our businesses and the market drivers that underpin our second half optimism are not second-half specific, that these are market drivers and competitive positions that underpin continued progress in 2014 and beyond. So this is kind of a moment in time for our company where we're feeling like the fruits of our work are going to pay off and that we're getting closer to that moment in time where all 3 of our businesses can perform at very, very high levels and we can deliver the kind of shareholder value that we know is built into this company. So thank you for your interest. We look forward to talking to you again in our October call.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.